Operator: Dear investors, good afternoon. Welcome to join us at Goldwind Science and Technology 2024 Q1 Results Announcement. Today, we have President, Cao Zhigang; Madam Ma Jinru, Board Secretary and Company Secretary; CFO, Wang Hongyan; Vice President, Chen Qiuhua, with us. We're going to have two sessions today for the announcement. First, we are going to have Madam Ma, to walk us through the major highlights. And Mr. Wang will brief us on the business performance, and then we will kick off the Q&A session. Now over to you, Madam Ma.
Ma Jinru: Thank you. Dear investors, good afternoon. A great thank you to everybody for joining us today. I wanted to share with you something on company announcements. [Multiple Speakers]. 37% up year-on-year. And the offshore newly added capacity 11.3 gigawatt, up by 25% year-on-year and in 2023 we can see that there is a global surge for these installations mostly contributed by China which record 77.1 gigawatt hours accounting for 65% of global installations newly build. And of course Brazil ranked number 3 in terms of the newly added wind installation. Now, you can see on the grid connection. On the right side you can see all the information and you can also see the public tender market information. On next page, Page 6, you can see some of the latest policies for new energy. In China, the Chinese government continue to introduce new policies building, upgrading the grid and developing new energies and in the same time, providing documents on supporting China's rural areas in developing wind power. On the right side, the government also proposed that by the end of 2024, the non-fossil installation generation capacity is going to account for 55% of the total installation capacity. And also the non-fossil fuels, especially energy is going to account for 18.9% of the total use of energy. And wind solar capacity is going to account for 17% of total social consumption. So we definitely have a great expectation for the new energy development in 14 to 15, five-year plan. Now given that background, I'd like to walk you through on the company's development. On this page, you can see the sales capacity. In Q1, we have external sales volume of 1,436 megawatts, up by 29.4% year-on-year, below 4 megawatt hours, only 0.7 percentage were between 4 megawatts to 6 megawatts. It accounts for 52% of the total external sales capacity and the above 6 megawatts accounts for 47.3%. Now let's look at the order backlog. In the end of Q1 2024, we have a backlog order of 33.65 gigawatt, among which there are 32.36 gigawatts for external order among which we have successful bid of 8 gigawatts and signed contracts of 24.36 gigawatts. We can also see that the internal backlog order in the end of Q1 2024, amounting to 1,295 megawatts. You can also see that among the backlog order, we can see definitely a great development of overseas orders especially at the end of this Q1, we have more than 1,800 megawatts of the orders from overseas. Now let's look at the grid connection. You can see that from the pie chart, we can see the total location of our attributable grid-connected wind power, 29% in Northwestern China, 27% in Eastern China, 23% in North China and 11% in South China, 4% in Northeastern China. At the end of Q1, we have total attributable under-construction capacity amounting to 4,096 megawatt hours. And in the same period, our average utilization rate of our wind farm is 632 hours, 38 hours higher than the industry average, and you can also see the breakdown on the right side. That's all for me. I'll hand over to my colleague to walk you through our financial highlights.
Wang Hongyan: Dear everyone, good afternoon. Thank you for your support to Goldwind. Now I'd like to walk you through our Q1 financial highlights. On Page 22, you can see the consolidated loss and gains. On the left side, you can see the revenue breakdown in 2023 and revenue in Q1 2024. We have reported revenue of 6.979 billion revenue in Q1, among which the wind turbine manufacturing revenue increased, we registered the most drastic increase year-on-year. On the right side, you can see the four quarters in 2023, the gross profit margin. You can see the profit margin in Q1 2024 is 26.12% up by 0.89 percentage year-on-year. The profit margin for major businesses all improved in Q1 2024. In the same time, the absolute growth of GP margin is 29.81% which is very obvious. We can see that the revenue and profit margin fluctuations are quite aligned with the expectation and forecast of the management. And you can also see the net profit attributable to the shareholders of the company, which is a minor decrease. Why? In 2023 in Q1, our investment return and the change of fair values has brought in some major changes. You can know that the source of the investment gains are mostly from the sales of the wind farms -- brought. But in Q1 last year in order to compete against other players in the market, the company has definitely had some major provisions, some commercialization of our assets, and also the changes of the fair value especially the overall capital market in 2023, Q1 was much better than Q1 2024. That's why in 2024 Q1, this return has decreased by RMB 1.9 billion. The second reason is in 2024 Q1, we don't have any contribution amounting to 1.928 billion from the investment return and the change of fair values, but the company obviously had optimized our businesses. Therefore, we have managed to offset some of the downwind by 1 billion. So you can see that this is quite a normal net profit attributable to owners of the company. On the right corner, you can see the weighted average return on equity. You can see that the weighted average return on equity recorded on 0.86%, which is also a result of the decrease of the net profit attributable to owners of the company. Now next slide, we can see on the profitability index, operation index, where you can see the days of trade receivables. We can see that we have turnover days for accounts receivables. In Q1 2024 is 172 days. In Q2 2023, it was 195 days. In Q3, it was 188 days. And by Q1 this year, it is only 172 days, and the accounts receivable accounts for 18% of our total assets amounting to RMB 25.109 billion. On the right side, you can see the days of inventories and contracted assets. You can see last year, it was 16.6 billion, whereas this year, it is 18.893 billion, so 13% out of our total assets, which is a very good increase year-on-year. But if you look at the days of trade receivables as well as the days of the inventories, it is quite aligned with the industrial average. The inventory turnover today is 140 days. On the next page, you are going to see the solvency indexes. On the left side, you see the interest-bearing debt where our interest-bearing debt is 55.4 billion, accounting to 55% of the total liabilities, which is quite aligned with the industry average. You can see the seasonal needs are quite obvious in Q1, we have to use money to prepare for our inventories. This is a great demand of money. At the same time, our attributable grid connection will be doubled last year. That's why we have arranged some interest-bearing debt. And in the coming quarters, there are going to be changes on the money used to prepare for the inventory. So we're going to control the total debt -- interest-bearing debt to total liabilities at 50%. On the right side, you see asset liability ratio, which is 71.44% at the end of last year, which was 71.96%. So this year is 71.44%, a quite minor increase -- a quite minor improvement. So at last year's annual report, we talk about our business model, which has a major impact on our asset liability ratio. So the company has been very proactively updating our business to make sure our asset liability ratio is within normal range. On next page, you see the cash flows, especially the cash total assets and the net operating cash flows. On the left side, you see the total cash. We have a balance of 10.857 billion cash. And this year, our requirement of the cash is to make sure we have quite good control of cash. At the same time, we have provisions each quarter no less than 12 billion, so that has paved the way for our liquidity and for our financial securities. Our net operating cash flows, you can look at the industry players. Usually, on Q1, we have to prepare for our inventories. We have a great outflow of cash. On quarter two, there are shipments deliveries where we're going to have less net operating cash flow and in season three or in quarter three, we're going to see a lot of returns of cash. So you can see that on the first quarter of 2024, the net operating cash flow -- outflows actually totaled RMB 6,054 million, which is much better than last year. That's all.
End of Q&A :